Operator: Good day, ladies and gentlemen, and welcome to Clearway Energy, Inc.'s Third Quarter 2018 Earnings Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the call over to Chris Sotos, President and CEO. Sir, you may begin.
Chris Sotos: Thank you, Chelsea. Good morning, and thank you to everyone for joining today's call. Before we begin, I'd like to quickly note that today's discussion will contain forward-looking statements, which are based on assumptions that we believe to be reasonable as of this date. Actual results may differ materially. Please review the safe harbor in today's presentation as well as the risk factors in our SEC filings. In addition, we will refer to both GAAP and non-GAAP financial measures. For information regarding our non-GAAP financial measures and reconciliations to the most directly comparable GAAP measures, please refer to today's presentation. I'm joined by Chad Plotkin, CFO of Clearway Energy, Inc.; as well as Craig Cornelius, President and CEO of Clearway Group, who will be available for questions. In addition, I'd like to introduce Akil Marsh, who recently joined our team in Investor Relations. Akil is a great add. I know with his background in MLP research, he'll be able to get up to speed in our business model quickly and be helpful in communicating with our investors going forward. Turning to Page 4 and starting with the financial update. With overall favorable results, we are pleased to report third quarter CAFD generation of $156 million and adjusted EBITDA of $290 million. Additionally, we are maintaining our full year 2018 guidance of $285 million of CAFD and $985 million of adjusted EBITDA. Clearway is also announcing a quarterly dividend increase to $0.331 a share in the fourth quarter of 2018, achieving our previously committed growth target of 15% year-over-year. Looking forward to 2019, we're now guiding to $295 million of CAFD, which takes into account the effect of the 2020 convertible notes that tendered in October, an assumption we have not previously made when we last update you in September. We are also on track to achieve our 2019 pro forma CAFD of $320 million, in line with our longer-term goals and supporting our 5% to 8% dividend per growth target in 2019 and beyond. As a foundation of this growth, we have added to our committed growth by increasing our $457 million committed growth figure that we presented to you in September to $483 million. This growth is due to some early development success of our thermal team and agreement to provide a combined heat and power system Mylan for the manufacturing facility in Puerto Rico under a 10-year contract with a strong unlevered CAFD yield of approximately 12%. Our Carlsbad acquisition is now targeted to close by the end of January with NRG anticipating term converting the construction facility at the end of December. The amount of capital now estimated to be required for the Carlsbad purchase has increased to $380 million due to our strong equity performance. As indicated in our previous disclosures, because the binding terms with NRG were reached 9 months ago, there were a number of purchase price adjustments agreed between the parties that would take effect prior to closing. This include certain operational parameters as well as this adjustment, which projected CWEN's accretion, now known and completed, which was affected by the favorable issuance of stock by Clearway in September at a strong CAFD yield. In addition, NRG has offered us the remaining interest in Agua Caliente with an anticipated acquisition price of between $115 million and $120 million and a CAFD yield of approximately 10.2%, subject to final closing documentation. We expect the closing of this acquisition to occur in the first quarter of 2019. Finally, we're delivering on the financial plan we illustrated in September with $675 million of total capital raised to support our committed growth needs and balance sheet management. Notably, $352 million of our convertible notes were tendered as a result of the fundamental change that occurred with the acquisition by GIP of NRG's majority interest in Clearway. Page 5 is meant to provide transparency around our committed growth investments. Updating the numbers provided in September, we start with $472 million of committed growth investments, taking into account the previously mentioned Carlsbad purchase price adjustment. We then add the $11 million for Mylan to get updated $483 million committed growth investment figure, which we factored into our 2019 CAFD guidance and pro forma outlook as there are binding agreements in place. We then add the $115 million to $120 million Agua Caliente offer to provide visibility toward the now approximately $600 million of near-term growth investments we expect to execute at accretive economic terms. As always, we will adhere to our balance sheet targets of BB/Ba in raising corporate debt and maximizing the flexibility afforded to us in using an ATM program where appropriate to raise our equity needs. Chad will review in more fulsome detail our capital formation plan in his portion of the deck. Page 6 provides an overview of our most recent growth opportunities. On the left side of the slide, we show the Agua opportunity, which you're very familiar with due to our current ownership of the facility. At a purchase price of between $115 million and $120 million, we would anticipate a levered CAFD yield of between 10% and 10.4%, a very strong CAFD yield on a solar asset with approximately 20 years remaining on its PPA duration. In addition, this asset will increase our CAFD generated from solar assets to approximately 32%, up from 30% as we continue to increase our solar contribution to the portfolio. On the right side of the slide, we are pleased to announce progress and development of our Thermal business. This project is a new combined heat and power plant under contract with Mylan. It will be Mylan's counterparty to provide behind-the-meter energy services at a facility in Puerto Rico. The structure of the contract with the Mylan parent company focuses the risk on construction and operation of the facility while eliminating risks around fuel supply, oil price as well as any potential changes in tax law regarding Puerto Rico. This $11 million asset backed by a 10-year contract, will produce a 12% unlevered return for Clearway, a very strong CAFD yield, particularly on an unlevered basis. Turning to Page 7. Here's an update of some of the key development efforts at Clearway Group that we anticipate addressing on our earnings calls going forward. In the upper-left portion of the slide, you can see that Clearway Group has increased the pipeline by 620-megawatt since the last time we talked, allowing the group to have additional raw material to grow the advanced and intermediate stage portions of their pipeline with time. Regarding those stages of development, approximately 368 megawatts were advanced to the stages compared to when we last spoke, with approximately 173 megawatts added through M&A activity to the overall pipeline. Clearway Group was also awarded PPAs of more than 260 megawatts of CWEN-eligible projects that are not already in the ROFO pipeline, creating additional certainty in terms of having contracted assets available for CWEN to fuel growth going forward. Looking at the upper-right portion of the page, I'd like to highlight the advanced portion of the pipeline, which is the closest leading indicator to CAFD growth opportunities for CWEN shareholders as it represents projects that are the closest to being made part of the ROFO pipeline, namely asset that have full site control, plant design and system impacts studies are complete. Discretionary permit applications completed and later-stage power marketing and process. Currently, it stands at approximately 1.1 gigawatts, a significant amount of projects that provide visibility to the near-term projects that are further along. The intermediate portion of the pipeline is also significant with approximately 3 gigawatts of assets in that designation. Looking at the bottom left of the page, you can see a rough time line of how these projects may come to fruition, with nearly 3.2 gigawatts of projects at advanced or intermediate stages of development, beyond those in the ROFO pipeline. Providing the opportunity to have meaningful additions to growth going forward, particularly in the 2021 and 2022 time frame. In the lower right of the page, you can see illustrated certain projects that comprise the ROFO pipeline and their anticipated COD dates. With that, I will have the presentation over to Chad Plotkin, Clearway Energy CFO. Chad.
Chad Plotkin: Thank you, Chris. And turning to Slide 9. For the third quarter, the company is reporting adjusted EBITDA of $290 million and cash available for distribution, or CAFD, of $156 million. These results were above our median expectations and again, demonstrated the benefit of our diversified portfolio as performance at the Renewable segment insulated the platform from underperformance at the Conventional segment. For Renewables, strong production in the quarter across the Alta project more than offset below-expectation production for the balance of the wind fleet and our solar assets. In the Conventional segment, higher start revenue at Marsh Landing provided an offset to temporary outages at both Walnut Creek and El Segundo. With the third quarter behind us, Clearway Energy now has realized $783 million in adjusted EBITDA and $250 million of CAFD year-to-date. These results keep the company on track to achieve the updated full year financial guidance provided on the September 11 investor call at $985 million for adjusted EBITDA and $285 million for CAFD. As a reminder, full year guidance does assume the Renewable portfolio operates at P50 median expectations for the balance of the year. On that point, we remind you to review the sensitivities provided in the appendix section of this presentation as the favorable renewable energy conditions realized during the third quarter did reverse in October as production across most of the wind portfolio was below expectations. During the quarter, the company also made significant progress on its capital formation objectives by raising $675 million through the issuance of $600 million in new 2025 senior notes and an opportunistic block equity transaction of $75 million. Both financings were at attractive economics relative to the assumptions used in the September presentation, providing for moderately improved accretion in the redeployment of this capital. As it relates to liability management, the make-whole fundamental change tender offer process for both our 2019 and 2020 convertible notes concluded on October 9. The result was $352 million of tender notes, including $243 million of 2020 convertible notes that must now be refinanced and assumption not factored into the September rollout presentation. As a result, we are now adjusting our overall refinancing plans to factor in the tender 2020 converts. I will discuss this momentarily as it does impact 2019 CAFD expectations and our remaining capital formation requirements through next year. Lastly, the company is pleased to meet its 15% year-over-year growth target with the next quarterly dividend increase to $0.331 per share payable on December 17 to shareholders of record on December 3. Now let's turn to Slide 10 for a bring down on our 2019 CAFD expectations since the September 11 rollout presentation. This includes the impact of the aforementioned refinancings and other minor updates pursuant to our annual planning process. Before I start, please note that beginning in 2019, the company will no longer guide to adjusted EBITDA but rather focus on CAFD, given the importance of this metric to driving long-term per share value to our investors. However, while we will no longer guide to adjusted EBITDA, we will continue to report on adjusted EBITDA and use it as a reconciliation to CAFD in the Reg G schedules. On the left side of the slide, we summarize the key changes since the September 11 investor call. On the right side of the slide, we then quantify how these changes impact prior 2019 CAFD expectations and the pro forma CAFD outlook. This pro forma outlook is important, given that while we want to ensure you have visibility into next year's expected financial performance, the financial results realized in 2019 will not reflect the full contribution of all committed growth investments given the timing of when capital was deployed. Furthermore, and as noted in the Appendix section of the presentation, other known forecasted year-over-year cash flow drivers across the portfolio do provide an uplift in expected CAFD after 2019. Simply put, while CAFD guidance will be based on our 2019 expectations, the pro forma outlook provides for the best target when evaluating the company's ability to deliver on its long-term objectives. Now for the specifics. We previously indicated a CAFD outlook of $300 million to $310 million in 2019. This range was primarily based on whether the refinancing of the 2019 convertible notes at maturity was executed by either a higher coupon corporate bond or a lower coupon convertible instrument. With the execution of the 2025 senior notes, our bridge to CAFD guidance will be based on the low end of the outlook range or $300 million. As you can see on the left side of the slide, primary updates to our prior assumptions include: one, a lower cost of financing for required corporate debt capital from assumed 6.25% to the executed 5.75% with the 2025 senior notes; next, the effect from the $243 million of 2020 convertible notes tendered that was previously excluded from the 2019 outlook in the September update. This includes both the reduction in interest from the retired note and to support 2019 CAFD guidance and assumed refinancing of this debt using a cost of 5.25% or a midpoint of our current view for a new convertible note or corporate bond. The third update is a higher amount of new corporate debt raised from $585 million to $600 million. Next, we add the Mylan investment to the expected CAFD contribution from committed growth investments while assuming no change in current timing expectations for prior commitments. Lastly, we now forecast minor updates to next year's expectations due to various timing-related matters, such as distributions from unconsolidated investments and an observed increase on LIBOR rates affecting the approximate $300 million in floating-rate nonrecourse project debt in the portfolio. Moving to the right side of the slide and after accounting for these updates, Clearway Energy is now guiding to $295 million of cash available for distribution in 2019 or a target that is materially in line with our prior expectations with the primary impact resulting from the need to refinance the tender 2020 convertible notes 1 year earlier than expected. In the table and below the 2019 CAFD guidance, we then bridge to the company's projected pro forma CAFD outlook. This includes the additional contribution from committed growth investments not expected to be realized in 2019 and the known year-over-year cash flow changes to the base portfolio in 2020. The result is approximately $320 million of pro forma CAFD, a figure that keeps the company on target for its ability to deliver on its CAFD per share and dividend per share growth targets. We want to remind you that guidance is based on the portfolio operating at P50 median renewable energy production for the full year and excludes costs related to integration, transition services from NRG or thermal development. These costs, however, do impact liquidity and are factored into our available cash for redeployment. Finally, and as called out on the slide, the impact of the recently offered remaining interest in Agua Caliente from NRG has not been factored in the company's future expectations as we will continue to base financial guidance and outlook on investments that are subject to binding agreements. That said, given the timing of when we anticipate reaching a binding agreement, we are now factoring this future investment into our capital planning, so I will now turn to Slide 11 to provide an update on the company's financing requirements through 2019. Per the left side of the slide and prior to the impact of the recently close financings, Clearway Energy now has an expected total of $1.174 billion of permanent financing needs to execute upon through 2019. With the addition of the pending Agua Caliente drop-down, this includes an estimated $602 million of growth investments described earlier by Chris and now a total of $572 million of liability management needs given the addition of the 2020 tender convertible notes. Moving to the right side of the slide and staying consistent with our target balance sheet objectives, we show an assumed permanent financing structure for the $1.174 billion, with $883 million of corporate debt and $291 million of equity needs. With the success in raising $675 million in just over the last 45 days through the issuance of the 2025 senior notes and the equity offering, the company now has approximately $500 million of remaining financing required. This includes $283 million of corporate debt, primarily for liability management and $216 million of equity. While market conditions will always inform the best approach to place permanent capital, our current view is that with the retirement of most of the company's convertible notes, the capital structure can support a new convert, so we are clearly focused on this front as it relates to meeting the balance of corporate debt requirements. We will manage this closely with a focus on adhering to our balance sheet targets while optimizing long-term CAFD per share objectives. For the company's equity needs, it is our intent to lean primarily on the ATM program. While exceptions to this approach will continue to require adequate market conditions and efficiency to meet our goal of maximizing CAFD per share accretion, we do point out that with existing cash and $188 million available through the existing and future authorized ATM program, most of the remaining equity need can be fulfilled under this program. And this is all possible as availability through temporary sources of capital remains robust with $450 million under the corporate revolver. Further, while excluded from this analysis, we do anticipate generating additional cash through 2019, which when combined with temporary sources of capital, provide for significant flexibility into the timing of when this equity capital needs to be raised over the long term. And with that, I'll turn the call back to Chris for closing remarks.
Chris Sotos: Thank you, Chad. Turn to Page 13. In conclusion, this year has been a transformative one for Clearway Energy. We're coming out the other side of the energy transaction with a stronger sponsor and improved growth pipeline and most importantly, we now work with approximately 260 employees at Clearway Energy, Inc. and another approximate 500 employees at Clearway Group, all working in alignment to add value to our platform each and every day. Clearway has continued to meet its financial commitments for 2018, including the increase in its dividend by 15% year-over-year. Clearway was able to transition to a new sponsor in GIP and the Clearway Group with minimal CAFD leakage and increased growth prospects. There is still significant work on transition and integration but so far, the process has gone well. We continue to demonstrate execution on our most important metric, CAFD per share, with a variety of investments that add to the portfolio on a long-term contracted basis at accretive CAFD yields. Finally, while executing on this growth, we have emerged from the NRG transaction with our ratings intact, demonstrating access to the capital markets and maintaining a balance of debt and equity capital formation. While we have realized significant execution toward our growth goals in 2018, we are just getting started in terms of what this platform can accomplish going forward. Operator, please open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Abe Azar from Deutsche Bank. And due to no response we will go to our next question. Our next question comes from the line of Julien Dumoulin-Smith with Bank of America Merrill Lynch. Your line is now open.
Julien Dumoulin-Smith: Hey good morning.
Chris Sotos: Hey Julien.
Julien Dumoulin-Smith: So I wanted to follow up a little bit on the 2019 guidance. Can you talk a little bit about what a run rate exit might look like at the end of 2019? I just –really, what I'm trying to get at is the incremental CAFD contributions from the litany of different growth projects you have ongoing. And then perhaps embedded with that, you obviously talk about 5% to 8% DPS growth targets. Obviously, you don't see that necessarily explicitly in the CAFD year-over-year. Can you talk about perhaps the other contemplated drops to kind of get you to that 5% to 8%? Obviously, there's a payout lever – payout ratio lever here as well to ensure that you hit that target overall. But again, I think the emphasis is contemplated growth opportunities and run rate by year-end as well as future drops and priorities on that in 2019, too.
Chris Sotos: Chad, why don't you answer that?
Chad Plotkin : Sure. Julien, I guess, we always – I think the use of run rate, we tend to avoid because run rate in a portfolio, the way we guide, obviously, there's always going to be small, moving variables here and there. But I think with what we presented, the way we would look at it is, if all the growth investments are executed, and you're looking at them on a sort of an annualized basis on this kind of 5-year CAFD profile we see, excluding Agua Caliente, that $320 million number is sort of a good number to think about. Now obviously, that excludes Agua Caliente, ignoring other corporate financing that will be required to help fund that. Obviously, Agua Caliente, given what we said here, is roughly another $10 million, so – or excuse me, like $12 million, and then you have the net of the financing. We can determine what that would be. So then that would be additive to that coming out of the number. I think from – as far as how we could think about guidance and stuff, our general view will stay is that, we will guide or provide outlook when we have binding commitments, and that's core – sort of the general philosophy we'll have. I think your question down on the payout ratio was, I think if we looked at it and we thought about that run rate relative to sort of that 5% to 8%, I think it's reasonable to assume we're sort of at the upper end of our targets, between the low and the midpoint of that. So we think that is achievable. And then, obviously, there's the other growth that we would expect to see in the existing ROFO assets or any other growth that comes through the portfolio from Thermal, et cetera.
Julien Dumoulin-Smith: Right. And maybe, can you elaborate a little bit on the priorities if you were to think about the ROFO commitment? Sort of in order of priority, which assets do you think come first in terms of drops incrementally from here?
Chris Sotos: Sure, I think really in terms of the ROFO, what's left is Mesquite Star, Langford and DG. So I mean, DG kind of happens through the course of the year with every quarter. Mesquite is probably, obviously, a little bit longer just due to its COD in 2020. So I'd say, for this year, Carlsbad's kind of January. Yes, Agua would be kind of by first quarter. And then in terms of drop-downs, it's probably much more back half of 2019, early 2020 from Mesquite Star without the DG piece.
Julien Dumoulin-Smith: Thank you, all very much. Have a great day.
Operator: Thank you. Our next question comes from the line of Angie Storozynski with Macquarie. Your line is open.
Angie Storozynski: Thank you. So two questions. So one, based on your capital needs for 2019, basically it implies that you need about a $300 million convert. And I understand that you do have some flexibility given your revolver and the GIP backstop for Carlsbad. But I mean, is it just purely dependent on market conditions when you're going to issue it? And then secondly, why didn't you include Agua Caliente in your guidance, but you did include it in your financing plans?
Chris Sotos: Sure. I'll kind of – in terms of your two questions, the first one is, yes, we'll decide to convert due to market conditions at the time because we do have enough liquidity due to the 2 sources you mentioned to kind of handle it if we don't need to. But I think, we view the market as pretty good and especially, we're kind of, obviously, refinancing paper that's already out there for the vast majority that left. That's usually positive. To your second question, we literally just received the offer on Agua, so we don't have a binding PSA completed to kind of fully update guidance. However, I think it makes sense for us to kind of give you and our investors a view as to what we will need probably to issue in terms of corporate debt and equity to fund it. So we would only increase guidance once it's kind of done it, and we know exactly where within those ranges we sit. But once again, we wanted to give you, as our investor community, kind of a view as to what capital raising within degrees of freedom we may need in the future.
Angie Storozynski: Okay. And one just bigger picture question. So congratulations on strong results for the quarter, which you said were driven by this very large wind farm that you have. I mean, do you feel like you have a pretty meaningful concentration risk in this one asset and, as such, going forward, you should be adding no wind assets? I mean, I understand that that's what with the acquisitions that are going to be happening in 2019. But is this just basically a plan that you need to sort of minimize your exposure to wind farms?
Chris Sotos: I wouldn't say wind farms in general. We do have a significant exposure to the Tehachapi. There's no way to argue the converse. I think, however, from our perspective, what you've seen is over the course of the past couple of years is kind of general, we'll probably do more solar acquisitions than wind in general to diversify away from kind of that wind concentration. But I think our view of wind isn't necessarily to diversify away from wind, but to diversify away from Tehachapi. So the Mesquite Star project, when that comes online, that's in Texas in ERCOT. And so even though it's a wind project, obviously, not correlated with Tehachapi. And then also, you've seen us kind of look a lot in solar assets as well, kind of to diversify away from that. So we do have a significant concentration in the Tehachapi region. And then Craig, I don't if anything to add from your view on your origination going forward for your development pipeline.
Craig Cornelius: Yes, Angie, it's a good question. We actually have spent a lot of time on – in doing our new development and asset acquisition, looking at correlations of wind resource to Tehachapi. So within the 9.6 gigawatt pipeline that we're developing today pretty intentionally, we're looking to create a more diversified fleet for CWEN over time, both in relation to resource within wind, across generator types and across customer segments and ISOs. So – and certainly over time, I think we can provide more insight into the regional decomposition we provided some in the investor update call in September. But our goal is we look ahead to 2020 and 2021 and '22 for the projects that we bring forward to CWEN or drop down to create a more diversified fleet over time.
Angie Storozynski: Thank you.
Operator: Thank you. Our next question comes from the line of Michael Lapides with Goldman Sachs. Your line is open.
Michael Lapides: Hey guys, thanks for taking my question. Real quick. If I'm looking at Slide 7, what is the main difference between what you're defining as advanced or intermediate pipeline, the 4.1 gigawatts versus the 9.5 gigawatts you show in the upper-right hand side? And of the 4.1 gigawatts, how much of those actually have PPA contracts right now?
Chris Sotos: Craig, why don't you walk through that, if you don't mind.
Craig Cornelius: Sure, you bet. So Chris had summarized the definitions of our advanced stage projects in his prepared remarks. Intermediate-stage projects have site control for more than 50% of the acreage that's required to build a facility. Interconnection feasibility studies are complete. Preliminary permitting studies are complete and an application has been readied. We've got an indicative design base of layout. Our preliminary interactions with equipment vendors for what we're planning to put into the project and a power marketing plan's been developed and often with initial customer engagement in progress on projects. So that's kind of what that 4.1 gigawatt portion of the pipeline looks like. And in general, together, we're looking for projects in those stages to be reaching NTP or a start of construction within the next 24 to 30 months generally during the next 2 to 2.5 years. So that's that basis. And then in earlier stages, you can imagine backing up to earlier point. So you've got an initial interconnection application submitted. We've got wind owner negotiation or site control underway but less than that 50% threshold, for example, for acreage secured in general projects that are earlier stages, we'd look to see being readied for start of construction, more than 2.5 years from now. So that's sort of a way to think about it. In terms of our ability to progress intermediate-stage projects, I think we touched on the – on this in the investor update call that we did in September. And if you look back eventually to some of the slides that we'd showed around our proven track record, it's interesting to note that a substantial share of what was ultimately dropped down into CWEN over 2016 and 2017 were projects that we'd started in 2015 at the intermediate stage and permitted, contracted, financed, constructed and completed for drop-down by the end of 2017. So I think we hope that there will be reasonable conversion rate of intermediate-stage projects for drop-downs as you look into the 2020 and '21 period. And for advanced-stage projects, we usually complete those entirely.
Michael Lapides: Got it. And just real quick, kind of following up on my last item, roughly of the 4.1 gigawatt, roughly how much of that has PPAs today?
Craig Cornelius: Typically an intermediate-stage project would not have a PPA yet. So a subset of the advanced-stage projects have PPAs on them, a meaningful fraction of those. I think, thus far, it's not been our intent to provide disclosure around that specific volume. But it's safe to say that if our general thought process is that advanced-stage projects are going to go into construction within the next 2 years, we've got PPAs or line of sight to PPAs on a substantial share of that, that 1.1 gigawatts in power marketing process and underway for intermediate-stage projects with the hope that those will start to see PPAs on them over the course of the next 12 months.
Michael Lapides: Got it. And just one last one. There are a lot of renewable developers out there, both large-cap companies as well as lots of independent or privately held ones. What do you think your differentiating factor is relative to the competition?
Craig Cornelius: Sure. First, I think, as one of the biggest renewable owner-operators today in the country with our affiliate with CWEN. For customers who want to know who's going to supply them their power over these long-term contracts, we are very much a credible and durable counterparty for them to do business with. And I think the most sophisticated of those customers are starting to appreciate how important it is to have a provider who they trust. They have objectives to meet when they sign a contract. They want to see a project get constructed. They want to see it operated by people who they can trust, and that makes a difference often. The other competitive advantages that we think we have, often times because of the scale that we have in certain regions in particular, we have operating cost advantages as a result of the number of turbines that we operate in the location or the staffing that we can deploy across multiple sites. And that shows up over the course of a 30-year pro forma that gives us an advantage in terms of the way that we price PPAs. We also see better financing terms, and that's actually, I think, a more important thing as we get towards the end of the PTC life cycle. Because financing providers can choose amongst projects and increasingly, I think, will choose quality and sponsors who they trust. And lastly, in a lot of cases, we actually – we have incumbent customer relationships. So not long from now actually, one of the PPAs that we'll announce publicly for the Mesquite Star project started with the customer relationship on a community solar project that's in operation in CWEN fleet today. And we're seeing a number of customers come back as repeat customers at greater scale. And their trust that's been developed in getting a good service from us to date puts them in a position to want to do more business with us over time.
Operator: [Operator Instructions] Our next question comes from the line of Colin Rusch with Oppenheimer. Your line is open.
Colin Rusch: Guys, could you talk about your cash needs to the end of 2019 for the planned pipeline development? And then I have a couple of follow-ups.
Chris Sotos: Sure. On the pipeline that's not a – I think I'll let Chad kind of go over for purchases of assets. On pipeline development, I know we haven't – or neither has Craig's team negotiate that. So in terms of the capital we need, I'm going to let Chad address that question.
Chad Plotkin: Yes. I guess, Colin, when you say end of 2019, maybe I wasn't sure I followed. I mean, I think the capital need...
Colin Rusch: Yes, I mean, so acquisition needs are extremely clear. I'm just talking about moving this pipeline forward to be ready for 2020 through 2022 growth. How much cash are you going to put into the business?
Chris Sotos: Yes, I mean, that's, frankly, very dependent on the purchase prices for what kind of Craig and the Clearway Energy Group wants to sell things at. From a development standpoint, we don't put in any capital to get that done, other than the Thermal piece, which is between $3 million and $4 million a year. So I think for the public entity, the answer is $3 million to $4 million a year on the Thermal side. Really, the capital we have to put is dependent on purchase prices in the future of that but it wouldn't drop to us.
Colin Rusch: Okay, great. That's very helpful. And then are you evaluating liquidating any of the portfolio to free up cash or arbitrage the market dynamics? We've certainly seen some of your peers doing that. Is that something that's on the table? And how quickly could it be on the table?
Chris Sotos: I mean, I think we look at all of our assets to see prices that are available in the market. And if there's a strong price, we definitely would consider selling up an asset. I think in terms of speed, once again, I mean, diligence processes typically take some time to make sure you get the most robust price. But to your question, we always look at those type of opportunities.
Operator: Our next question comes from the line of Shar Pourreza will Guggenheim Partners. Your line is now open.
Shar Pourreza: So you guys talked a lot about sort of your financing and ATM and converts. But let me ask you, is there – and we saw a peer do something very similar to this. Is there an opportunity to look at sort of partnerships or a JV structure to finance acquisitions similar to what we saw with the recent BlackRock deal?
Chris Sotos: I'll answer and then let Chad. I think there's always opportunities. However, I think in this case, you do have – in terms of what we're refinancing in the near term, given the 2019 converts in February, yes, that's a pretty – that is a public vehicle, and so we, obviously, think there will be public demand to replace that paper. So to answer your question, yes, the type of funding opportunities are available through JV, and we look at those from time to time. But I would think that the expected case would not be that in the near term.
Shar Pourreza: Okay, not in – okay, good. And Chad, let me just a quick clarification, just on the committed investments and growth projects. Did you highlight top end of sort of your CAFD per share growth of 8% through your outlook?
Chad Plotkin: No. I think what the question was is, if we thought about our outlook number at the upper end of our payout ratio, that would be supportive of probably like the lower to the midpoint of our 5% to 8%.
Operator: Our next question comes from the line of Abe Azar with Deutsche Bank. Your line is now open.
Abe Azar: Can you provide any more details about the new PPAs that you talked about on Slide 7? Is the 260 megawatts, is that at Mesquite Star? Or is that something different? And then the 300-megawatt hours, is that a battery. Because I don't see any batteries on the pipeline list there.
Chris Sotos: Craig, I'll let you walk through that.
Craig Cornelius: Yes, sure. So this disclosure is for project that are not already on the CWEN ROFO list, so those quantities don't apply to Mesquite Star. And the – so those PPAs are for new projects that prospectively, at a later date, might be placed on the CWEN ROFO list that are not there today. As for the counted megawatt hours, that applies to battery, energy storage system that would be integrated with a PV facility once constructed as a part of a combined product for a utility customer.
Abe Azar: Okay, and just to clarify, this is basically inside the advanced 1.1 gigawatts right now.
Craig Cornelius: Actually, those 2 projects are still within the intermediate stage and would be presumably reaching advanced stage progression during the course of the first quarter of next year.
Operator: I'm showing no further questions at this time. I would now like to turn the call back to Chris Sotos for closing remarks.
Chris Sotos: Thank you. Thank you, everyone, for attending the call, and look forward to talking to you again next quarter for our year-end. So appreciate it. Take care.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may all disconnect. Everyone, have a great day.